Operator: Good morning ladies and gentlemen and welcome to the Huron Consulting Group’s webcast to discuss results for the first-quarter 2008. At this time all conference call lines are in a listen-only mode. (Operator Instructions) As a reminder this conference call is being recorded and now I would like to turn the call over to Gary Holdren, Chairman and Chief Executive Officer of Huron Consulting Group. Mr. Holdren, please go ahead.
Gary Holdren : Good morning and thank you for joining us for today’s webcast to discuss Huron Consulting Group’s first quarter 2008 results. Before we begin I would like to point all of you to the disclosure at the end of our news release for information about any forward-looking statement that maybe made or discussed on this call. We have posted a news release on our website. Please review that information along with our filings with the SEC for disclosure of factors that may impact subjects discussed in this morning’s webcast. Also on this call we will be discussing one or more non-GAAP financial measures. Please look at our earnings release on our website for all the disclosures required by the SEC, including reconciliation to the most comparable GAAP numbers. Joining me on the earnings call today in our Atlanta office are Gary Burge, our Chief Financial Officer; Dan Broadhurst, our Chief Operating Officer and Mary Sawall, our Vice President of Human Resources. My remarks today will be brief and Gary Burge and I will leave plenty of time for Q-and-A. When we announced on March 27 that we were not going to make our Q1 guidance numbers we pointed out that three of our segments were doing well and the organic growth rates for those three segments would exceed 25%; we achieved those results. The fact that we have generated the results we did in spite of the drop of our financial consulting segment demonstrates the strength of the balanced portfolio of Huron. We continue to feel comfortable that the health and education consulting, corporate consulting and legal consulting practices will have good organic growth rates for 2008 that together will exceed 25%. When you look at our annual guidance you will see us back-end loaded and we are comfortable we can achieve those results. That is because of the nature of the Wellspring Healthcare assignments and the way projects and assignments are being scheduled out for our higher education practice. As I have told you in the past, Wellspring does eight week to 12 week assessments at lower rates initially at new clients, which is then followed by a eight month to 12 month implementation at bull rates. Wellspring has historically moved to implementation phase on 70% of their assessments. Wellspring had 17 assessments in process in the early part of this year compared to only six in the early part of 2007, which supports our increased revenue assumptions for 2008 as well as the assumption on the back-end loading of those revenues. If you went back and reviewed Health and Education Consulting’s 2007 quarterly results you will see a 28% increase in Q3 and Q4 2007 results over the Q1 ’07 results and we feel comfortable about that happening again in 2008. Both groups the Healthcare, the Wellspring and Higher Ed are in need of more experienced professional resources, which is another reason for the back-end loading of revenues as we recruit resources to meet the very strong market demands for these practices. The demand for Wellspring higher education and pharmaceutical and health plans is very robust and we see it remaining very strong for the remainder of 2008 and into 2009. We continue to have very strong market presence in each of these practices. Corporate Consulting group has also improved dramatically from last year. We saw improvement from all our strategy business, restructuring, operational and two new groups; utility consulting and our Japanese operations. These groups should continue to see very solid year-over-year organic growth rates for the remainder of this year. The Legal Consulting Segment only had an 8% growth in revenues as compared with the first quarter of 2007, but the market for these services is still very vibrant. What general counsels want are cost containment and information management exactly the services we provide. We continue to win assignments. I am confident with our market positions and this offering will be back on high growth track, growth track in the second half of 2008; this also adds to the back-end of our forecast. Our Velocity product sales are developing very well and we are confident; you will see increased results for each of the remaining quarters of 2008. Now to Financial Consulting; I think you know this business has two components; our Financial and Economic Consulting business and the CFO Solutions Business which we acquired last August. The Financial and Economic consulting business has fallen substantially over the last several quarters. The revenues were $36.6 million in Q1 ’07, $29 million in Q4 of ’07 and $22.6 million in Q1 of ’08. The fundamental reason for this fast drop has been the loss of jobs that generate more than $1 million a quarter. In every quarter of 2006 and 2007 except for Q3 2007 we had an average of five or six jobs nearing more than $1 million in the quarter and we had one or two that averaged $4 million in the quarter. In Q1 2008 we only had two jobs over $1 million. Well we had an increase in Q1 ’08 business; it was from revenues of jobs generating 200,000 to 500,000 per quarter. These job generated $8.6 million in Q1 ’08, which is double what we had in Q4 of ’07. While our average job size is down we are winning assignments, which suggests we are holding our own in the marketplace. Financial Consulting has been a great business for us for the past five years and we still believe Financial Consulting is a good business and one we want to be in for the long run. We feel the larger jobs will come back, the question is when? However we are not counting on short-term rebound for this practice in our 2008 guidance. Activities currently in process for this practice include: increase our opportunities to win $1 million plus job by tracking trends and meeting with the lawyers who are on these big cases, continue to be active in the smaller job marketplace in order to win jobs from $200,000 to $1 million range. We hope to continue to double the volume of these cases won in 2008 versus 2007 and finally, to continue to evaluate our senior talent moving out those that are not performing and hiring better replacements. Since January 1 of this year four MD’s of left Huron and we have added two very experienced and talented MD’s as replacements. We have also transferred two Financial Consulting MD’s to other practices they will be able to more fully utilize their skills. From a demand perspective we saw more opportunities in marketplace for Financial Consulting in April, than we saw at the start of the year, which is encouraging. We are seeing more wins and opportunities in the following areas: Healthcare investigations, defense of Big 4 auditors and cases involving restatements, transfer pricing, criminal defense, international arbitration and various contractual disputes. The CFO Solution business has also been sluggish in the early part of 2008 as we have seen the sales cycle lengthen and some major assignments wind down. We continue to be active with our sales activity and part marketplace; we also continue to go to our current client base with CFO Solutions. We are encouraged that the pipeline of proposal opportunities is increasing for this practice and with more bets we know we will get more hits. Before I turn it over to Gary Burge, let me recap by saying that our balanced portfolio at Huron is our strength and is working. Three of our segments are on track to have a very successful 2008 and we are taking the steps necessary in Financial Consulting to get this business back on track to the point to where it can once again be a strong contributor in 2009 and beyond. Now I will turn it over to Gary.
Gary Burge : Thanks Gary and good morning every one. As Gary mentioned our balanced portfolio was at work in the first quarter as three of our four segments met expectations, about two of those three segments had outstanding growth. Some of the financial highlights included, revenue of $139.4 million were up 20% compared to last years first quarter, a consolidated organic growth of 6%. Excluding the Financial Consulting segment a combined organic growth rate for our other three segments was approximately 27%. Our customer diversification continues to improve as our top ten customers represented approximately 25% of total revenue for the quarter compared to 32% a year ago. EBITDA increased 2.4% to $25.8 million in the first quarter and our adjusted EBITDA rose approximately 9.5% to $32.2 million. Our adjusted EBITDA margin was 23.1% of revenues. Operating income increased 9% to $20.6 million for the quarter up from $18.9 million last year. Operating margin was 14.8%, compared to last year’s 16.3%. Net income increased 4.1% to $10.2 million in the first quarter of 2008 and diluted EPS was $0.56 compared to $0.55 a year ago. Now for some comments regarding each of our businesses; revenues for the Financial Consulting segment were $38.8 million for the first quarter of 2008, increasing 6% from $36.6 million in the first quarter of 2007. As a reminder, this segment now includes what we call the CFO Solutions business from the Callaway acquisition that was completed in the third quarter of 2007. As Gary mentioned, excluding Callaway, first quarter revenues for our Financial Consulting segment would have been down 38% organically from a year ago; $36.6 million down to $22.6 million, as this event-driven practice had a disappointing first quarter. Financial Consulting operating income of $9.6 million decreased by $6.6 million or about 41% from last year’s first quarter, due to a significant drop off in utilization rates for the full-time billable consultants in this segment. As we have seen a recent uptick of our pipeline of opportunities from medium sized jobs, those between 200,000 and $1 million per quarter, we are cautiously optimistic that this group can regain some revenue momentum as the year goes on as we continue to pursue opportunities for the plus $1 million jobs. Let’s take a look at the performance for the other three segments, which continue to be bright spots for our business. Revenues for the Health and Education segment were $51.1 million in the first quarter of 2008, increasing better than 31% all organically from $38.9 million in the first quarter of 2007. We remain very pleased with the strength of Wellspring, our healthcare provider practice that’s displayed in the community hospital market, our Higher Ed and pharma health plan practices also had very strong first quarters and we have a very positive outlook for those businesses as well. In total, the Health and Education segment operating income was outstanding, increasing more than 81% to $22.1 million from $12.2 million during the same period a year ago. Even with the exclusion of Wellsprings rapid amortization, which was $1.6 million from Q1 2007 results; operating income for this segment would have improved 60% from a year ago. Revenues for the Legal Consulting segment were $25.2 million for the first quarter of 2008, increasing as Gary said 8% from $23.3 million, in the first quarter of 2007. While our core legal consulting services were up approximately 20% from a year ago, this segment also had a tough comparison to the first quarter of 2007, as our event-driven hosting, processing and document review business now branded as Velocity had several major cases and type review deadlines in the first quarter of last year that drove a high volume of revenue. Having said that, Velocity revenues did meet our expectation in the first quarter, we are off to a good start in the second quarter and we are confident this business will continue to ramp up as the year goes on, based on what we see as a strong market demand for these services. Segment operating income decreased approximately 17% to $6.6 million from $7.9 million during the same period a year ago. Operating margins declined in this segment relative to last year’s first quarter, due to continued business development and investment activities relating to the launch of our Velocity product and lower utilization rates for our Legal Consulting business. We invested heavily in resources over the past year, increasing headcount by nearly 45%, anticipating strong demand in the Legal Consulting market here in 2008. We believe there is great potential for this business; as a matter now it’s continuing to hit the market hard to fill the sales pipelines for both Velocity and Consulting Services that are targeted at the general counsel market; the solutions, the technology and the resources are in place. Revenues for the corporate consulting segment were $24.3 million in the first quarter of 2008, increasing 40% all organic from $17.3 million in the first quarter of 2007. Results were driven primarily by our strategy practice Galt, which had another very good quarter, and improvement in our restructuring and turnaround business. We are also pleased with the revenues generated by our new Tokyo office and our utility consulting practice. As Gary mentioned, both practices were added during the past year and it’s begun to establish themselves in the marketplace. Segment operating income increased to $9.4 million in the first quarter of 2008, up 123% from $4.2 million during the same period a year ago, reflecting the improved topline and an absence of rapid amortization expense relating to the Glass acquisition. Even if you add back the $700,000 of Glass rapid amortization to Q1 2007 results, operating income for this segment still would have improved more than 90% from a year ago. This balanced portfolio strategy proved its value again this quarter as strong results in health and education and cooperate consulting practices allowed us to whether the revenue downturn in Financial Consulting and also allowed us at the same time to make investments in Velocity, Japan and a utility consulting practice. Now, for a few more stats, DSO came in at 74 days at the end of the quarter compared to 67 days at the end of last year. While our track record has always shown a first quarter increase in DSO we are continuing to focus attention on this measure in striving for ways to bring it down and hold it more consistently throughout the year and finally, return metrics for Huron remains strong with the return on assets of approximately 10.7% and a return on equity of 25.5% over the last 12 months. Now, guidance for Q2 and the full year of 2008; as you saw in our press release for Q2 we expect revenues in the range of $140 million to $145 million, EBITDA in the range of $23 million to $26 million, operating income in the range of $18 million to $21 million and $0.48 to $0.57 in diluted EPS. We expect that second results will also include a little over $7 million in stock-based comp costs. For the full year 2008, we expect a revenue range of $590 million to $620 million, EBITDA in a range of $116 million to $127 million, operating income in the range of $95 million to $106 million and diluted EPS in the range of $2.57 to $2.88. Full year share-based comp cost is estimated to be approximately $28 million. Other full year modeling assumptions would include approximately 1,325 billable consultants onboard by the end of 2008 and approximately 750 average FTEs for the year. Average utilization rates for the year we expect to be in the 65% to 70% range and a 4% lift in our average hourly bill rates compared to 2007. I want to reiterate what Gary said with respect to guidance. While we’ve seen indications of an improving pipeline of opportunities for Financial Consulting, we have not assumed that this group will rebound in the near term and therefore have assumed for guidance purposes that Financial Consulting revenues will remain relatively flat over the next three quarters. Revenue growth over the reminder of the year as reflected in our guidance will come primarily from the Health and Education and Legal Consulting segments. Weighted average diluted share counts for 2008 are estimated to be approximately $18.4 million shares for Q2 and $18.5 million shares for the full year of 2008. Finally, with respect to taxes, you should assume an effective tax rate of 44.5% for the full year. To recap, three of our four segments met revenue expectations in the first quarter and we feel that they will sustain, if not build revenue momentum over the balance of the year. We feel that Financial Consulting has seen some lessening of the headwinds that they faced over the last several quarter and we’re cautiously optimistic they may begin to regain some revenue momentum over the balance of the year, although we have not yet built that recovery into our forecasts. Let’s now open it up for questions.
Operator: (Operator Instructions) Your first question comes from the line of Tim McHugh with William Blair; please proceed.
Timothy McHugh – William Blair & Company: Yes, I want to ask first about the healthcare and higher education segment. You mentioned the 17 assessments you’ve had going on earlier this year. How many of those have come to a decision point yet and when would you expect better visibility into how much of that will convert into additional assignments this year?
Gary Holdren : Tim, we have very good visibility into the ’07 already -- ’08 already with conversion rates and assignments set up. So, I don’t have the specific number, but I know that we’ve got well into the numbers that we need to make the -- have really good visibility for the rest of the year and the number that we told you.
Timothy McHugh – William Blair & Company: Okay and then on Callaway, you mentioned a lengthening of the sale cycle, curious as to what you attributed that to and could that be due to any macro economic concerns amongst clients or is there anything more specific going on?
Gary Holdren : Well, I think the first and foremost we are asking, Callaway to sell some additional services other than just what they sold, but I think the -- right now I think companies in general are probably just a little leery to whether they need, additional consulting fees in these sort of economic times.
Timothy McHugh – William Blair & Company: Okay and then moving over to Corporate Consulting, the improvement in Galt and restructuring; we can see restructuring trends picking up, but it's given the sensitivity of corporate spending. I wonder if you could comment on the sustainability of the improvement you saw in Galt recently and the outlook for that piece in the Corporate Consulting?
Gary Holdren : Yes, what happens with Galt, what's the best thing for them is that, if they get into a very, very large corporation -- we are talking about in the Fortune 50 worldwide; they typically start with one division and those divisions can’t have four, five, seven divisions and so, what’s -- the best thing for them is that they continue just going from one division to another division and we are seeing that and then even though the discretionary spending can be tight, these are projects where if you get to the CEO and CEO really wants to improve shareholder value and these guys have got such a good track record and they have got such good references we are continuing to see companies want to spend in that area, so we continue to see that to be sustainable.
Timothy McHugh – William Blair & Company: Okay and then one last one, if I might; the guidance does seem to imply even looking beyond the revenue, a tickup in profit margins in the second half of the year. I was wondering if you could comment on plans for managing headcount whether it would be through reductions or shifting people amongst the segments to help you improve those margins in the second half of the year?
Gary Holdren : Well, the reason the margins are gone up is -- I mean, if you look at it the revenues are going up and we don't need a lot more people to do it.
Timothy McHugh – William Blair & Company: Okay, so there is -- you don't anticipate doing anything in particular with your headcount?
Gary Holdren : I didn't say that. We don’t -- that's not yet reflected in these numbers.
Operator: Your next question comes from the line of Brandt Sakakeeny with Deutsche Bank. Please proceed.
Brandt Sakakeeny - Deutsche Bank Securities: Thanks, Sakakeeny. Hi Gary, question for you regarding the pipeline, I guess Gary Burge in the financial services area can you talk to I guess both size of pipeline. Specifically are you seeing maybe these million dollar type contracts coming back up or is this still a couple of hundred thousand type business and what specific areas are you potentially seeing that acceleration pipeline activity?
Gary Holdren : We are seeing -- what we are seeing right now you can't really -- you can't specifically tell whether a case is going to be -- when it first starts, if it's going to be $1 million and a quarters and so what you can see is you can see that these are -- the thing’s that are most encouraging though are with large law firms. That with the law firms -- that if you went to the AmLaw 100 you would see them in the top 30 and you would see that these are major law firms. Now the size of the matters; I mean as I said we are seeing opportunities in international arbitration that we weren’t getting before because we've got Tim Hart here, who came from Navigant, whose has got an expertise in that. We've seen a few criminal offense matters come in for people that we haven't done before, seen some transfer pricing matters and just more activity. We've got restatement going on; it started with the West Coast based company. We don't know how big it will be yet, but it's just starting. So, it's just really scrambling out brand and really just get back in the marketplace and just saying that we need revenues and we need smaller cases if you don't have big ones and hopefully see what happens with those; get to know the law firms better, get the lawyers help with some -- so it's just a little better, just happened to be a little bit scrappier. We need more engagements and hope you can -- they increase in size as the client has more needs.
Brandt Sakakeeny - Deutsche Bank Securities: Okay, great and then can you just talk about the Callaway reorg? I saw that you had changed the earned out provisions given the reorg. How is that functioning now? Are you pleased or is it still too early to see how that new structure is just going to behave?
Gary Holdren :
Brandt Sakakeeny - Deutsche Bank Securities: Okay great. Final question to Gary Burge, on the DSO Gary is that just an increase ageing due to mixed shift or just more work in process or is there anything technical, increased overseas business that could be describing or expanding the increase in the DSO.
Gary Holdren : No, I don’t think so Bran. We’ve always historically had a big fourth quarter push on DSO and getting that number as low as we can and then there is always a lag headed into the first quarter, it seems like so its -- if it’s a seasonal nature I guess if any thing and we don’t like that, but we’ll continue to work with it, but our DSO, our receivables the collectibility is fine, there is no issue there; it’s just slower paying in process and we will continue to try to refine that and get it better.
Operator: Your next question comes from the line of Andrew Fones with UBS; please proceed.
Andrew Fones – UBS: Yes, thanks. Just if you could first of all perhaps give us your views in terms of the outlook for financial consulting six to 12 month from now. The types of work that you think may come from the credit crunch and the skills you have that you think may -- that you would need to kind of work on that type of work and do you think you have all the skills in place now or are there things you need to add? Thanks.
Gary Holdren : Andrew, we made some -- we’ve had some webinars and we have done some presentations, we put our calls together. I think may be I’ve covered this with some of you before, where we've got economic skills, we've got SEC accounting skills, we've got investigative skills, we've got valuation skills, we've got former internal audit head of Wachovia. We have been told by our package that goes out that it clear is a package that meets the credentials of the marketplace to want -- that we would be able to win assignments. So I think we've got the skills in place predicting exactly when those resources will be able to be utilized at what pace. I don’t think -- we are not smart enough yet to be able to figure out when that will happen and so what we have to -- the judgment we have to make collectively as a management team and our board is -- how long do we wait if we have got the right people to serve this and we believe it's going to happen and can we cover it with our other businesses or do we have to downsize it if it doesn’t come quick enough. I mean that’s what we struggled with and that’s what we will struggle with over the remaining part of '08 because we've got good people, it's just what -- in the market and then what we've got to try to do is in the sort term until those things come, because we got to get scrappy and try to just increase the volume and numbers of smaller cases we can get, so we can basically have the revenues to pay the bills to get an acceptable margin.
Andrew Fones – UBS : Okay thanks and then can you last tell us the number of college hires you're expecting in the second half of this year and how you plan to manage that vis-a-vis demands?
Gary Holdren : Yes, we are going to have 135 people and we are going to basically manage that based on the demand that each business has which could change as we go through the year, but if our demand stays the way it is, we will push out the start dates of the college hires and we've already discussed that with them.
Andrew Fones – UBS : Okay thanks. On bonus accruals, do you expect to accrue a normal level of bonuses for this year?
Gary Holdren : We’ve got a performance based organization. Those who basically make their plans will get their bonuses and those who won't. So whether they’ll be 100% or not just depends on how low some of our practices go versus the margins that we need to meet the streets expectations.
Andrew Fones – UBS: Okay, thanks and one final one. The bill rate for Financial Consulting was a little bit lower than we expected this quarter, what was the reason for that?
Gary Burge: Andrew this is Gary Burge. I think a mix issue as much as anything and when you don’t have a lot of big foundation jobs, over the jobs, those are the jobs that are at the higher average bill rates with a lot of MDs at work and that would be the issue as much as anything. We’ll get back in the situation, we have got a lot million dollar plus jobs, those rates will come back higher.
Operator: Your next question comes from the line of Mark Bacurin with Robert W. Baird. Please proceed.
Mark Bacurin – Robert W. Baird & Co.: Good morning. First on the Corporate Consulting business Gary were there any one-time fees or success base fees in that segment because the revenue growth there was quite a bit better than we were expecting.
Gary Holdren: No, not at all.
Mark Bacurin – Robert W. Baird & Co.: That’s great. So that’s -- can you break down. I know you talked about restructuring in some of the other business, but is there any specific items there that are driving that growth; I mean that’s pretty amazing growth for the first quarter and a bit uptick from Q4?
Gary Holdren : Yeah, it’s just they’re all -- they all did. I mean we didn’t have much utility practice at all, so it’s a big growth. Japan was a big hit for us. We had almost no revenue in Japan and I mean Japan hit our budget. So -- and all of them -- I mean just everything was just right on top of this gain. It was really good, it was really balanced within that Corporate Consulting.
Mark Bacurin – Robert W. Baird & Co.: Okay and then if I look at the Q2 guidance it looks like your implying a sequential decline in EBITDA relative to Q1 and I understand obviously Financial Consulting is going to be relatively flat, but it sounds like the other businesses should improves. So, are there any one-time charges or other expense issues that are weighing on the profitable in Q2?
Gary Holdren : I’ll let Gary cover sort of the components of what -- I mean what are the components of that.
Gary Burge: Alright, yes Mark there would be a -- right now if you would pick the mid point of the range, there would be a slight sequential decline in EBITDA. The impacts of that would be a full quarter effect of an increased level of stock-based compensation. SG&A is not changing significantly, a couple little bit due to some increased marketing activity and a little bit of additional rent costs and things. Sort of the key going forward here is that, growing that top line in the second half of the year and margins both at the EBITDA level as well as the operating income level will improve as those additional top line revenues come in.
Gary Holdren : But I think Mark also I think the -- one other things that we assumed is that if the -- some of the businesses that are growing need more bonus dollars in Q2 that we added and so some of our decrease in margin is because we need to put more bonus dollars in some of the business that are performing better in Q2.
Mark Bacurin – Robert W. Baird & Co.: Okay and then just I guess to talk about the -- I think I heard correctly that your guidance for all of ’08 assumes financial -- basically sidelines at this current Q1 level; I am just wondering 51% utilization rate obviously well below what you expect that to be at and it doesn’t sounds like your planning on ramping down head count, so…
Gary Holdren : I didn’t say that I just said it’s not billed into any of our guidance numbers yet and if we did ramp it down we probably got severance cost that would run through 2008. So, we will still look at it. I didn’t say we wouldn’t do it. I just say we don’t have it built in right now.
Mark Bacurin – Robert W. Baird & Co.: But I guess implied in that guidance then is that you are expecting utilization trends to stay down in the low 50’s?
Gary Holdren : Yes.
Mark Bacurin – Robert W. Baird & Co.: Okay, so that seems like that’s some room for improvement one way or the other whether...
Gary Holdren : I would say you have to be correct about that.
Mark Bacurin – Robert W. Baird & Co.: Great, on the legal consulting business, utilization trends there if you strip out the doctor view stuff quite there trending below expectations or below your targeted range there, anything going on in the kind of core legal consulting business and should we expect utilization trends in the 50’s going forwards.
Gary Holdren : No, you shouldn’t expect those in the 50’s. We got rid of a little bit of headcount which will have some impact, but we also had some -- a couple of jobs that we thought we’re going to happen, plus we had rapid hiring. That business I think will be just fine. We don’t have the same concerns there as we have with our financial consulting business. We have a number mark-up position, we have good products, we have a good pipeline.
Mark Bacurin – Robert W. Baird & Co.: Okay and then I guess just final; you did see a very nice uptick obviously with the e-discovery and document review work in the quarter. It sounds like you expect this -- I think its $14 million or so in the quarter that that rate should be sustainable and even grow from there and I guess that was number one. I think you talked about on the Q4 call a large project that helped you in this quarter. I was wondering if you could quantify that first and then also verify that you expect to ramp sequentially from this Q1 level?
Gary Holdren : We definitely have very good visibility into Q2 and we know that we are going to have a great Q2. We've got a lot of sales people and we've got a good product out there and so -- and we did have a nice size job in Q1, but we've got a bigger job in Q2 that replaced it, so yep, we got -- we are doing just fine in that space right now.
Mark Bacurin – Robert W. Baird & Co.: Could you give us some help in terms of the mix of that business now and how much of it's being priced off of the per document review pricing model under Velocity versus the traditional billable hour model?
Gary Holdren : Most of it in Q1 was the old model and it's starting to increase in Q2, but it's still not 50/50 yet. So -- but we are seeing some increase in Q2 a little bit, but most of Q1 was on the old pricing model.
Operator: Your next question comes from the line of Tobey Sommer with Suntrust. Please proceed.
Tobey Sommer – Suntrust : Thank you. A question about the hospital assessments turning and implementations; I was just wondering if you could us a sense for -- if an assessment produces X dollars, what does the implementation typically produce in a given quarter once you get to that phase; what sort of multiplier effect does typically occur?
Gary Holdren : Let's say that if you do a $300,000 to $500,000 assessment, you should get at least a 10 times revenue on implementation.
Tobey Sommer – Suntrust : Okay and then the -- would it be a fair assumption for us to kind of be doing math on our -- on the historical 70% conversion rate?
Gary Holdren : I don’t know whether if you -- I don’t have that right on my tip. I would rather have Gary get back to you than to say something on the call that I'm not positive of.
Tobey Sommer – Suntrust : Okay. I can appreciate.
Gary Burge : I just know Tobey; they are red hot right now.
Tobey Sommer – Suntrust : And then I wanted to ask you a question about your summer hires; last year you brought in a lot of people and you had, a better in fact a yield on your offers than you were expecting and I was wondering just if you could comment on that given the fact that the financial consulting; is it red hot and there potentially could be some streamlining. How are you positioned to absorb those and can you redirect them towards the segments that are experiencing real good demand?
Gary Burge : Yes, I mean that’s -- our goal is as we made a commitment and told people of our word that -- we went out and told 125 college kids that they had jobs and so now we can differ them a little bit, but we -- it’s our job to find them somewhere and here on to let them have a good successful carrier and where did they all go to, where we thought they were originally going to go or where their first choice is; just might not happen.
Tobey Sommer – Suntrust : But that number remains at a 125 throughout kind of the summer and fall?
Gary Holdren : It's more going to be the fall and weather.
Tobey Sommer – Suntrust : Okay and I had a question Gary Burge, about the stock comp and you may have touch this in the prepared remarked; if missed it I apologize. Is there a greater level of stock comp? Is it spread out more broadly throughout the organization? Any color that you could provide there will be great.
Gary Burge: We made our 2008 restricted stock grant on or about February 1 and so you had just two months in the first quarter and you got a full quarter affective -- that first quarter grant affecting the second quarter and I will say consistent then at about $7 million a quarter for the remainder of the year.
Tobey Sommer – Suntrust : And is that at a higher level than it has been historically?
Gary Burge: We had more shares but a average -- lower average share price. So the stock comp compared to a year ago -- if you could just bear with me here for a second, we had $4 million of stock based comp costs; $4.2 million of stock based comp cost in the first quarter of '07 and that compares to around $6.4 million in the first quarter of '08. So it’s up, we've got more shares out there, but it’s a key element of our compensation as you know at the managing director level and we will continue to invest in that as a means of compensation.
Tobey Sommer – Suntrust : Thank you. One last question and thank you for taking the time; I think in the prepared remarks you said Velocity sales are kind of picking up any kind of color you can provide there on the uptake in customers in what could be a pretty disruptive pricing offering? Thanks.
Gary Burge : Yes, we just -- I think Bob told me that he had met with some people and they had been to New York and he talked about some RFPs and major master service agreements, we continue to get traction there and we continue to win assignments from our old master service agreements and so we are just getting a lot more people that think it’s a good product at a good pricing point and we have the sales force that’s really hitting the street. So we are just having good success with it Toby.
Tobey Sommer – Suntrust : Is this a function of converting more traditional business to a Velocity model or are you also winning new contracts out right?
Gary Burge : We are winning RFPs, contracts out right. We are also winning clients where we have gone to the General Council’s Office that they may not have been buying Velocity before that. Now they believe and see that this is a good product and are piling it, so it’s coming from both answering RFPs and getting our existing corporate General Council clients to buy the product, plus law firms -- we are selling it to law firms on specific type cases and transactions.
Operator: Your next question comes from the line of Jim Janesky with Stifel Nicolaus; please proceed.
Jim Janesky - Stifel Nicolaus: Thank You. Gary, when -- it appears as if you have been appropriately conservative in your outlook for the financial consulting segment, considering the trends. When you look at the other three segments combined either for business that has already started or business that is in the pipeline, can you give us an idea -- have you attached to that when giving your outlook for the rest of the year, a lower than historic probability of getting that business win, so being more conservative just considering the trends over the last couple of quarters?
Gary Burge: So, if the question is right Jim, as -- have we been more conservative and the three businesses are doing better than we traditionally would have been in the past?
Jim Janesky - Stifel Nicolaus: Well, right. I mean, so if for example, your outline was $100 and usually… [Multiple Speakers]
Gary Burge: Wellspring and we’ve been -- I mean the one good thing that we got and we did in this last weeks is we really went and kicked the tires very hard and did a reforecast. We looked at all the businesses and we looked at where they were with their jobs, how many were hard backlog, what was the trend and I would say -- I wouldn’t say that we have been more conservative, but I would say, we went through a much more diligent process to you get comfortable with the numbers, so I might say that is a conservative approach.
Jim Janesky - Stifel Nicolaus: Okay and when you look at head count, I mean you had talked in the past about the possibility that we could see at reshuffling or a reduction of as many as 15 or so senior people you talked about for -- did you feel as if they became -- these individuals became more productive or that they -- you saw additional work on the horizon that at least in the near term, you didn’t want to cut these individuals that bring in the work?
Gary Burge: I mean, so why did we only -- why is it only six down versus 15?
Jim Janesky - Stifel Nicolaus: Right.
Gary Burge: Because I think we owe it to these people who have given us a great career here on more than three months notice to basically change what they change in the market place. I just don’t think its fair and not the way to do business. Now do we know and do they all know that we are looking at them on a 90 day increment? Yes, but I just don’t think it’s fair to have a business that’s produced the results. It has produced over five years and there are still people that got 90 days.
Jim Janesky - Stifel Nicolaus: Sure, okay and the -- we have seen some for example high profile airline talks about mergers and such -- you have had, you have historically had a presence there. Just with the talk of the mergers, are you seeing any consulting activity there, is that generally after they are announced?
Gary Burge: We are -- there was a call yesterday that we haven’t won it, but when you say activity, yes. We are positioned and we are positioning ourselves on some of the merger integration work, it’s very competitive. If you ask me, are we seeing activity? Yes. We are upon it and its very competitive, but we are in the hunt.
Jim Janesky - Stifel Nicolaus: Alright, with respect to voluntary turnover, did you find that you had to maybe increase compensation, either cash or stock based, in order to keep people or even despite that that you have been loosing people or has that been pretty stable at least at the beginning of the year?
Gary Burge: I’ll let Mary Sawall answer that.
Mary Sawall: Yes, our voluntary turnover actually continues to decrease quarter-to-quarter. It was under 2.5% in the first quarter and we did the usual things we do every year, looking at the market and determining base salary increases and then trying to make sure that our top performers were getting the bulk of the money and the bonuses and we do expect turnover to increase somewhat in the second and third quarter, so it happens every year but on it’s quarter-over-quarter and year-over-year basis, we continued to see positive trends in it.
Operator: Your next question comes from the line of Kevane Wong with JMP Securities; please proceed.
Kevane Wong – JMP Securities: Hey, guys how are you doing? Most questions are answered, but just a couple of things. Overall I know you answered this first segment, but when you are looking at success fees, how big were the success or performance fees in the quarter and with the guidance -- did your guidance include any particular amount of success fees in the second half or is your guidance excluding sort of performance fees you might get.
Gary Holdren : There was none in Q1 and I would just say that the success fees are not a big part of Huron’s business or any of our numbers that we have given you.
Kevane Wong – JMP Securities: And then also was curious on the Health and Education segments; obviously you pointed to a lot of assessments at this point. Are the assessments sort of processed at a period where you tend to use the west of the contractors? I know this last couple of quarters, the number of the contractors in the Health and Ed segment have come down is that something we should expect to pick back up as these assessments turn into implementations or is it there something else sort of driving the top and the use of contractors there?
Gary Holdren : Yeah, I think the general idea is that as more revenues go up and they need more things to be done you’ll have more contractors.
Kevane Wong – JMP Securities: Okay, so that’s something that is just sort of down because you're doing more assessments at this point and it should pick up later, then?
Gary Holdren : I mean I don’t know that -- I know the specific number setting here, but just your concept is right is that we are short of people right now and revenues are going up and the way to solve that problem is with contractors.
Operator: (Operator Instructions) and your next question comes from the line of Bill Sutherland with Boenning & Scattergood; please proceed.
Bill Sutherland – Boenning & Scattergood: Hey, guys just one question at this point. I kind of want to see if we could talk about the healthcare practice a little bit below the surface. I am curious about the very strong momentum you have there in terms of the kinds of assessments that you are getting, the nature of them, because it -- at least the non-profit hospital industry is not in too bad a shape right now. In fact parts of it are doing quite well, so just curious kind of what kinds of work you are getting requested to do? Thanks.
Gary Holdren : It’s interesting. Yes, you say that I just shared -- I was with the head of the healthcare practice two nights last week and his business this year, one of the things of it -- 40% of its going to be in probably very healthy academic medical centers and so we are just seeing great demand from that business in sort of all aspects of it; the teaching hospitals, the academic medical centers, the community hospitals, so I am just telling Bill is that there is very few hospitals right now that doesn’t want to improve their cash flow from operations.
Operator: Your next question is a follow up from the line of Tobey Sommer with Suntrust; please proceed.
Tobey Sommer – Suntrust : Thank you. Two questions, just to get a -- could you give me a sense of the kind of dollars you can generate from a typical assessment within the hospital space; over the course of how long that assessment lasts a quarter or two?
Gary Holdren : You are talking about assessment or implementation?
Tobey Sommer – Suntrust : The assessment side.
Gary Holdren : The assessment is eight to 12 weeks and we have a little more than cost, so it depends on size though. I think they go from 300,000 to 800,000; sort of the typical assessment size.
Tobey Sommer – Suntrust : Okay thank you and then just to kind of follow up on a previous question. Is there any -- when you think of the use of contractors given your headcount situation currently, is there an opportunity perhaps where you use less contractors this year and more of your own people perhaps shuffling some of the less experience consultants from one segment to another in order to fill that need?
Daniel Broadhurst : This is Dan Broadhurst speaking. We usually try to use the contractors just for subject matter experts, where a niche sort of expertise we need to bring in, particularly in the hospital space in reference to your question, but yeah we are also continuing to hire more of a bench in the healthcare practice since we did the acquisition with Wellspring as well. So, I think them as SME’s that we bring into work in a particular department or bring a real specific skill sets to the table.
Operator: As there are no further questions at this time Mr. Holdren, I would like to turn the conference back over to you sir.
Gary Holdren: Okay we want to really appreciate all of you taking the time today and for having a continued interest in Huron. In closing I just want to thank all of the Huron employees for everything that they do everyday. So, we look forward to speaking to you in August again when we report our Q2 2008 earnings. Thanks.
Operator: Ladies and gentlemen that concludes today’s conference call. Thank you everyone for your participation. You may now disconnect, have a great day.